Operator: Good morning, my name is Katie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Buenaventura earnings conference call. [Operator Instructions] I would now like to turn the call over to Rafael Borja of i-advize Corporate Communications. Sir, please go ahead. 
Rafael Borja: Thank you, Katie, and good morning, everyone. Welcome to Compañía de Minas Buenaventura's Third Quarter 2014 Earnings Conference Call on this October 31st, 2014. 
 Today's call is for investors and analysts only, therefore, question from the media will not be taken. Joining us from Lima, Peru are Mr. Roque Benavides, Chairman and Chief Executive Officer; Mr. Carlos Galvez, Chief Financial Officer; as well as other members of the company's senior management team. They will be discussing results per the press release distributed yesterday. If you did not receive a copy of the earnings report, please contact i-advize in New York at (212) 406-3693. 
 Before we begin, I would like to remind you, everyone, that any forward-looking statements made today by Buenaventura's management are subject to various conditions and may differ materially. These conditions are outlined in the company's press release in the disclaimer section. We ask that you refer to it for guidance on this matter. It is now my pleasure to turn the call over to Mr. Roque Benavides, Chairman and Chief Executive Officer of Buenaventura. Mr. Benavides, please go ahead. 
Roque Ganoza: Thank you, Rafael. Thank you, all of you, for attending the quarterly conference call of Compañía de Minas Buenaventura. The third quarter 2014, our EBITDA from our direct operations was $84 million in third quarter '14 comparing the positive trend announced earlier this year. Our net income increased 20% compared to third quarter 2013. This is the result includes close to $60 million noncash income from Canteras del Hallazgo, the Chucapaca Project acquisition. Yanacocha's gold production began its ramp up in the third quarter of 2014 to 250,000 ounces, in line with mining plan to reach guidance of close to in excess of 900,000 ounces. 
 Total attributable production was 217,000 gold ounces and 5.2 million ounces of silver. 
 At Tambomayo project, Buenaventura expect approval of Environment Impact Assessment and construction permitting by the end of 2014. At La Zanja, drifting activities continue to confirm approximately 350,000 gold ounces in Alejandra underground deposit. 
 El Brocal plant is expected to operate at 18,000 tons per day by December this year. And at Chucapaca Project, permits for advanced explorations with underground development will start as soon as the surface property acquisition is completed and we are very advanced in that respect. 
 Cerro Verde's plant expansion to 360,000 tons per day is in-line with schedule and budget. Productions on the expansion is expected by 2016. 
 In terms of our production, we have to update you in the quarter, 52,000 ounces of gold from Orcopampa, 3.3 million ounces of silver from our Uchucchacua mine, 307,500 ounces of silver from Mallay, 774,700 ounces from our Julcani mine and close to 20,000 ounces from Breapampa in Yanacocha. At La Zanja, we produced 36,000 ounces during this quarter; at Tantahuatay, it was in excess of 37,000 ounces of gold this quarter; and in El Brocal, we have produced 11,700 metric tons of copper and 600,000 ounces of silver. We have concentrated in El Brocal in producing more copper than lead zinc and we have been starting the ramp-up of the expansion project. 
 I would like to concentrate in this conference on explorations and projects and for explorations in nonoperating areas. I would like Cesar Vidal to join us and to help us on explaining what we have done during this quarter. Cesar, please? 
Cesar Vidal: Good morning to everybody. Nonoperating expenditure in exploration activities during the third quarter was $7.2 million compared with $5.7 million reported third quarter of '13. During this period, our main exploration efforts were focused in the La Zanja Underground delineation of the Alejandra vein, $4 million and the development and exploration mainly -- the exploration mainly of Tambomayo, $3.5 million. The expense of this 9-month period 2014 was $32.4 million compared to $23.4 million in 9 months of 2013. 
 We have significant high-grade discovery in Uchucchacua first, in Natalia and Camilla ore-shoots, with jobs for the first time this year. We've had some formidable intersects . Very -- and take that from 12 meters to 24 meters with 15 ounces per ton silver to 32 ounces per ton silver. Our average thickness is 16 meters, and the average rate per section for this last intersect is anything between 24 and 28 ounces per ton silver. This is very high in manganese, anything from 15% to 41%, but has got the additional 1% of lead and 2% zinc that makes the ore amenable to fluctuation. 
 We have identified, as of 30th September, at least 300,000 metric tons of indicated and inferred resources in a single ore shoot with an average rate of 24 ounces per ton silver with rougher recoveries in the order of 90%. We're very pleased about this result. This is a discovery of an ore shoot, 4 kilometers to the northeast of the Socorro mine. That extends that corridor for further explorations and we have to a high expectations from the ore shoots in the next drilling campaign. 
 At La Zanja, the underground drifting of the 3,400 mine level has advanced 420 meters and started to crosscut into Alejandra ore-shoot as evidenced by past drilling. The ore shoot is 400 meters long and it has a thickness of 2 meters indicated by previous drilling. This gives us a resource -- indicated inferred resource of 700,000 metric tons with just over half an ounce per ton of gold and 7 to 8 ounces per ton of silver, mostly in oxide and transitional materials. The drift in Alejandra started giving us high-grade only a couple of weeks ago. And so far, we have an average thickness of 2.1 meters and an average cut grade of just shy of 1 ounce per ton gold and over 2 ounces per ton of silver. Certainly, we use best industry practice and cap the high-grade at 70 grams per ton. Otherwise, the average growth rate would be significantly higher. We remain firm about the additional potential. Alejandra is our main target at the moment, but the underground drifting will also address the football vein of [indiscernible] and we have at least 18 kilometers of other high-grade silver and gold showing in veins in the La Zanja district. 
Roque Ganoza: Thank you. In terms of our share in associated company, at Yanacocha we produced close to 250,000 ounces of gold during the third quarter 2014, 3% lower than the third quarter 2013. But they're ramping up, and we are very pleased with the results of the quarter in Yanacocha. 
 In Cerro Verde, we have produced 53,000 metric tons of copper, lower than the same quarter of 2013. But at the end of the year, we expect to reach the target production. At Coimolache, we have a nativity room contribution to net income. In the third quarter, it was $6.3 million, and Coimolache is doing very well. 
 In terms of our project development and exploration, and I would like to concentrate on that as well in the Tambomayo Project. The advance exploration and mine development at Tambomayo has so far required $35 million for surface-right acquisition, underground ore shoot delineation and ongoing Environment Impact Study and the permitting for construction. Measured and indicated resources are 1.6 million tons running 13.6 grams per ton of gold and 9.6 ounces per ton of silver. It is quite high-grade as you can recall. 
 At the Chucapaca Project, in this quarter, we finalized the acquisition of 100% of this project. We have reached an agreement with the community of Oyo Oyo to purchase 1,380 hectares, and we are in the process of completion of this legal agreement. And that has to do with the informality of the registration of some of these communities, but we expect to finalize this very soon and go ahead with the project. 
 Yesterday, we had our Board meeting and we have declared a cash dividend of $0.023 per share or ADS, payable on November 28. An important aspect for Buenaventura has been that after 40 years of very positive and efficient contribution, Mr. Francois Muths has resigned from being Vice President Operations. He has had all his career in Buenaventura, and we have great appreciation for him. He decided to resign because of personal reasons, and we have been able to appoint Mr. Igor Gonzalez as Vice President of Operations to replace François. Effective next Monday, November first -- and Mr. González was Chief Operating Officer of Barrick Gold Corporation, and he's a Peruvian, and born in Cusco, and we are very pleased to count with him and to maintain this efficiencies that François put into the operations. So indeed, we open to any questions that you may have, please. Thank you. 
Operator: [Operator Instructions] Our first question will come from Karel Luketic from Merrill Lynch. 
Karel Luketic: So I have 2 questions. The first one, if I may, regarding costs. We saw very good performance in both Orcopampa and Yanacocha this quarter. And if you could help us understand, if you see any further room for improvements from the current levels, so if you -- you think cost can continue to decline? From the levels we saw in Orcopampa and Yanacocha in the next quarters and structurally in 2015 going forward. 
 And if I may, the second question regarding growth. We are very pleased to hear all the initiatives you're pursuing on growth, and if you could help us understand a bit better exactly like a bit more the timing and CapEx, for example, on Tambomayo. If you obtain the licenses by year end, when do you think the mine could start to operate and what's the potential production there? And also on the other initiative like Chucapaca, what are the next steps -- Chucapaca and Alejandra, what are the next steps and potential additional production that we can see from the more ore general, if I may, that would be great. 
Roque Ganoza: On your questions, regarding the cost per yield, yes, we have removed that into the high-grade, higher volumes of production as you know. We tried to catch up with our target guidance for the year, including our operations in Orcopampa, La Zanja, Tantahuatay. That has been in our affiliate Yanacocha. This is due to higher volumes, base, efficiencies on recovery. We expect to reduce this cost not only due to this improvement, but we need be much better during the fourth quarter of this year. But also, we believe that the impact of the silver prices in the market will help our operations to reduce. For instance in the case of Yanacocha, $1 per gallon means the order of $1 million per -- reducing cost -- dollar costs in the operation. On the other hand, we are improving, not only in our gold operations, but also in our single operation in Uchucchacua. We have to complete this performance in the combination of our manganese sulfate plant and the Uchucchacua corporation with higher grades. We move high grades as our resource, our resources, meet in the case of operation. So we feel very comfortable with that. With regards to Tambomayo, [indiscernible] part of the project, Tambomayo, the CapEx -- total CapEx is in the order of $200 million. We are advancing. We expect to be in production by early 2016, and we are advancing in budget and in schedule, so we feel quite comfortable that we will be able to produce on that mine probably somewhat less than 200,000 ounces, but we are going to be in that range. In Chucapaca, we are working on project -- an underground project than will be in the order of $400 million to $500 million. And that we produced probably in excess of 200,000 ounces, and we are now -- and it's early days, but we are expecting that probably by 2017 we will be in production at Chucapaca. The social front, the dealing with the community, have some positive effect. And we are very pleased with all that. Alejandra is a project that is thoroughly in its early stages, and that will require probably a location plans at some point in time. We are developing the resource and the reserves, and clearly that will take enough time to put into production, but in many event, it will require additional mythological facilities. And this point in time, we are not in a position to say when are we going to produce from Alejandra, but we will continue to receive form the heap leaching operations at La Zanja. 
Operator: Our next question comes from John Bridges of JP Morgan. 
John Bridges: I just wanted to dig a little bit deeper into Alejandra. Just wondering what the potential was. I think, Cesar, you said there were several kilometers of the sort of veins there? Are we seeing not necessarily that grade? But what do you see as a potential there longer term? 
Cesar Vidal: Good morning to you. This is a discovery based on 16 intercepts that were drilled 1.5 years ago. And now we are starting to drift. As you know, we drift for structure and we drift for grade. The news today are only preliminary because we just started drifting in the vein, but the first part of the ore shoot, which is 400 meters long, an averages of 1/2 an ounce per ton has given us a cut average of 1 ounce, so we're well above average, we're using base industry procedures. So we're encouraged about the higher grades of this initial drifting of the vein. So we expect better grade than what has been announced, so this part of the upside. And the 700,000 tons of 0.5 an ounce of gold will give you 350,000. But if we can make 20 grams, it will be significantly more. So that is an intrinsic upside in the Alejandra vein itself or the ore shoot drills in the holes. 
 In addition to that, we have other veins in the neighborhood -- in the surrounding neighborhood. And we have permits now to access them and start drilling them. So this will take at least, I would say another year to get positive results and adds new ore shoots. But naturally from the trends of Alejandra to the Northeast doubles the side of the current development plan. So I would guess that the potential is there to double the original 350,000 ounces to at least 700,000 ounces. But that's my ball park at the moment, we are working on that. 
John Bridges: It's a nice robust deposit to have in a weak gold price environment, right? Just wondered maybe for Carlos on the operations. And in particular, this off-mix of production coming from the top to the end of the year, you're doing -- you're actuating 1,000 tons a day now, what sort of mix would you have just for the end of the year of the zinc and the copper ore plants? 
Roque Ganoza: The bubble call to your operation, and the case of El Brocal, we had to delay the full capacity operation of the new plants due to certain difficulties in the crushing activity .  Fortunately this debate began again the operation of the primary and secondary crushing about the [indiscernible] in our continues operation, you know that there were certain [indiscernible] segments at the question improvement that both -- and even though we do not understand why. But we'll take the pieces and we are performing. We expect to continue running without having any problem and this means will continue treating on copper however, that will return some possibility to continue growing and the ramp up we expect to have in this crushing equipment. We are limited now with 11,000 tons per day throughput, but we reconfirm that we have no problems. We will add additional posts that will come from the metallic area. So from the time being, before confirming, we have no points, we are going to continue treating only copper. 
John Bridges: Okay. And then maybe, just finally, sort of already, they missed their production numbers or expectations. What do you expect for Q4? And what's the reasonable number for next year or 2 prior to them completing the expansion plan? 
Roque Ganoza: The guidance for production in Cerro Verde once you know there were 260,000 tons of copper, and this is due to the fact that the grades we're going to reduce, in the time, they extended the time process and this is why Cerro Verde is working on the expansion. So we do it as soon as Cerro Verde completes this expansion, we are going to, well, get the 600,000 tons per year as expected to begin. But next year, I would suspect that it will be somewhat between 260,000 tons and 280,000 tons. And starting 2016, all year -- calendar year, will be with 600,000 tons. 
Operator: Our next question comes from Santiago Perez Teuffer from Credit Suisse. 
Santiago Perez Teuffer: I wanted to ask also in Cerro Verde, but this time regarding cost. We saw a significant increase in cash cost. How are you thinking of this going forward? 
Roque Ganoza: Well, this is an encouraging question due to the lower grades. And no, if you observe the cash per ton, it's the same. But due to the low grades and the time that we say the cost per pound is higher, but no secrets. 
Santiago Perez Teuffer: And in that front, your partner commented that the -- with you -- the reduction in grades could be permanent. Do you have any comments on this? 
Roque Ganoza: No. This is why Cerro Verde decided to head with the expansion. Again, no secrets. That was the results grades we had, and this is what explained or justified expansion Cerro Verde. 
Cesar Vidal: That's the explanation for tripling the plant capacity, and only dollar and reaching 600,000 tons of copper. If you made the math, it gets to a very clear figure. 
Santiago Perez Teuffer: Perfect. And then my second question is regarding Casa Marca [ph] . How did your expectations changed with the outcome of the elections? And how do you expect your project there to evolve now? 
Roque Ganoza: It is difficult to say. We have been evaluating the results. The thing is, there had been -- on the press, there has been a number of explanations. People say that this has been a referendum and when you check on the figures, Mr. Santos obtained essentially 33% to 36% of the votes. So if he didn't reach 50% that many [indiscernible] start saying. We don't regard this as a referendum, I think that yes, he had a strong support. The campaign there was based on the emotions. They, for instance, then Mr. Santos was going to be asleep. He won the election and that was not the case. We understand that the demand that is going to take over was the Vice President, will be more of a party member and that we can discuss matters on a better level, if I may say, and we see it. We can reach agreement with the local authorities. The thing is, this is part of the democracy, and we have to face the situation. That we are happy with the results, obviously not, but -- that we have to continue working on socializing the Conga project and obviously, looking for other projects in the Yanacocha operation. We had been looking to explorations that have shown some results in the picture area that is probably a resource in the order of 1.5 million ounces in offsite. We had been looking at the Chaquicocha underground development. We have looking at the sulphite development at the Yanacocha. So yes, the pipeline with the interruption of Conga has been disrupted, if I may say, but we have to look to the current operation and try to find additional resources to maintain the production. I know that this is not a very concrete answer, but this is what we have at this point in time. La Zanja and Tantahuatay are operating normally, and we have no disruptions there. And as Cesar was mentioning, we have been able to discover a substantial underground deposit in Alejandra, and we need to know that there is substantial resources in copper underneath the gold offsite in both La Zanja and Tantahuatay. And we will continue working in Taca Marca [ph] for the benefit of the Taca Martinos [ph] and obviously, for the benefit of our shareholders. 
Santiago Perez Teuffer: Perfect. And then one last question if I may. On the comment you made, Roque, on Chucapaca that it could be producing a planned 200,000 ounces by 2017. 
 Could you run us through the permit process and how do you expect this to evolve? Because if we recall, usually it takes a little bit longer, right? 
Roque Ganoza: I think that in Peru, while getting to a point that people are simply so frustrated and upset with the time that it takes to get the permitting that we are also improving in that respect. A critical aspect is finalizing all the legal documents with the local community. Because it is stated that we have essentially reached an agreement with the local community to purchase the surface land and that is -- we decide to obtain the permitting for development of the project. So the thing is, we are going to work hard on obtaining the permitting and develop the project as soon as possible. 
Carlos Pinillos: Perhaps one important thing to bear in mind is that in this case, they are really meant to purchase the land, is that -- and we have had the opportunity to socialize the concept of the project. So that it will -- we want to make it easier to obtain the permitting. 
Operator: Our next question comes from James Bender of Scotiabank. 
James Bender: I just have a few follow-up questions and then a more of a financial question. First on the Tambomayo, just to confirm, you said that production would be less than 200,000 ounces, is that correct? 
Cesar Vidal: Less than 200,000 ounces, yes. 
Roque Ganoza: In the case of Tambomayo, whether will projects considers the use of 110,000 ounces of gold per year plus 3 million ounces of silver per year. 
James Bender: Okay, that's very helpful. And at this point, I know it's early stage, but would you have maybe a ballpark of what do you expect the cost to be on a byproduct basis of gold? 
Carlos Pinillos: Well, we consider the cash operating cost for this sort of operation and the mix, attributing the silver credits. We should obtain something in the order of 350 per ounce of gold. 
James Bender: Okay. That's very helpful. And just to confirm one thing. On the -- has this project, the development, has it been approved by the Board? 
Roque Ganoza: Tambomayo? 
James Bender: Yes. 
Roque Ganoza: Yes. 
James Bender: Yes it has? Okay. And Chucapaca? 
Roque Ganoza: Chucapaca, the process of approval is that we are going ahead. We are working on it, and probably we have to approve step-by-step but essentially there is a various coincidence in all those members that we are going ahead with Chucapaca, so for all that to get [indiscernible] , it has been approved. 
James Bender: Okay, that's good to know. And on El Brocal, I think Carlos mentioned that's how -- we're going to focus on processing copper for the rest of the year. 
Roque Ganoza: Yes. 
James Bender: Yes, okay. And does that mean that the guidance for zinc, is that going to be impacted for the year? 
Roque Ganoza: The guidance for zinc could be diminished if we continue producing the copper, we are not going to be able to prove it. But the -- let's say, we are just in the second day after turning around the problems we had in the crushing plant. And so perhaps in a week or 2, we could have a much better information that we will foresee what is going to happen with this certain metallic production. 
Cesar Vidal: The beauty of El Brocal and its huge deposit, is that we are flexible in producing the lead-zinc silver, or all the copper or depending on the price and we look after the profitability of each of those. 
James Bender: Yes, understood. And lastly, could you help me understand a little bit more that $60 million noncash income from the Chucapaca acquisition? How -- what is that #1. And #2, is there any tax impact on that? 
Carlos Pinillos: Well as you may know, we have to report in under IFRS, and that overrides you -- the company to include the fair value of -- that we have [indiscernible] . In this case, the valuation, we reported that we had this positive number, that has no tax impact. 
 On the contrary, we have had certain before taxes, for instance, in the case of our important investment of El Brocal, [indiscernible] noncash, but was sold in the order of $9 million due to our default tax, due to the valuation and we really have to [indiscernible] in terms of sold the fixed asset. But this is something that is not impact from the cash at some point and it is only an accounting issue. 
James Bender: So you said that's $9 million, right? Is that additional expense or was that a benefit? 
Carlos Pinillos: It's a higher taxation that in the year '14,and this is why it get me to the taxes, we are reporting up pretty high. 
Operator: Our next question comes from Karel Luketic from Merrill Lynch. 
Karel Luketic: I would like to ask a question on M&A. And if you could please comment on if there's a possibility of eventually acquiring an additional stake, maybe Yanacocha or if your studying any other sorts of potential M&A that are available, that would be great. 
Roque Ganoza: The thing is, in order for an M&A step forward and there needs to be a seller and a buyer. And we haven't heard that there is a seller, and obviously, we are verily much involved together with Newmont in the development of other resources in Yanacocha. As a matter of fact, we have come out from a quarterly meeting with our friends at Yanacocha and they're in our room next to ours. And essentially, we don't foresee any acquisitions, that at this point in time, obviously, we have the local farmers and we are always looking after the benefit of the contribution of Yanacocha. At this point in time, we have not had any discussions on this matter and we don't foresee this discussions in the near future. 
Operator: Thank you. Our next question comes from Pablo Abraham from Morgan Stanley. 
Pablo Abraham Peregrina: Just a couple of questions. First one is, if you could give us an update of the sale process of the mining units that you are not working right now? And second one, if you could give us a guidance regarding Orcopampa and Uchucchacua with a cost of production? 
Roque Ganoza: What was the first question? Sorry I did not got it. 
Pablo Abraham Peregrina: The first question is, if you could give us an update about the sale process of mining units you are not operating? 
Roque Ganoza: The selling process of the -- on these smaller operations, yes, yes. While we are working on those, we have essentially some interested parties in the Antapite mine and we are essentially given confidentiality or sign of confidentiality agreement with this interested parties. We also have some interested parties in Recuperada mine and we are working on that. It is a process we believe that there is interest, there is appetite in the market, and we're looking for that. The a fact of the matter is that those operations are consuming less -- far less resources from us by not be in introduction and that is part of the cost reduction that we have been following. In terms of the cost Orcopampa, Uchucchacua, Carlos? 
Carlos Pinillos: The guidance of production, both in Orcopampa as we mentioned, we are aiming to 1 -- 200,000 ounces of gold this year, in Orcopampa, to take to next year. And in the case of Uchucchacua, we are aiming to totaling amount of silver aiming to about a 13.5 for next year about once we get the committee to expand our production. 
Roque Ganoza: Is that answers your question? 
Pablo Abraham Peregrina: Yes, it -- well, [indiscernible] again for the cost? 
Carlos Pinillos: No, sorry. In terms of the cost -- well, in the case of Orcopampa, we are going to keep, and then in terms of the same level, we know that we are focusing on the areas of operation. We have regarding important areas of exploitation and in the area of the Lichia [ph], we choose an operating vein we are working on, we are obtaining higher grades than we have in the average. So this is something that could contribute to this costs for next year. In the case of Uchucchacua, which was mentioned, we expect to high-grade our operations, the grades of our resource in the order 15 ounces of silver per ton and we expect to be closer to this vein for the operation of [indiscernible]. So it means, and we have higher recovery, we are obtaining with the procedures and we have -- but we expect to cut the cost of the level of $14 per ounce of silver. 
Operator: [Operator Instructions] Our next question comes from Anna Viser [ph] from Credit Suisse. 
Unknown Analyst: Could you comment a bit more on Yanacocha? What are your expectations in terms of production and profitability for 2015? And if you have guidance, it will be great. 
Roque Ganoza: [indiscernible] have friends of Yanacocha next door, [indiscernible] the circuit, the production and so on. Anna, we expect to have guidance that could be [indiscernible] mediation [ph] 150,000 to 158,000 ounces of gold next year. However, we have to compare the mining plans and the details in all market could be impacted not only on the total guidance but also on the [indiscernible] mining plants. And if you remember, last year, we had a guidance [indiscernible] while it wasn't mentioned that we were going to have a pretty low profile of production during the first half of the year and a higher profile of production during the second half of the year, and we are performing on the delivering to the market. So this is the sort of the pace we have to work on and we are discussing. In cost. In terms of cost, for sure, again, this profile of production will impact on that. But in the average, we believe that this could be in an area between in terms of cost applicable to sales, something between 700 to 800 [indiscernible] 
Unknown Analyst: And also, do you have guidance for El Brocal? 
Carlos Pinillos: Guidance. 
Roque Ganoza: Guidance. 
Roque Ganoza: It was mentioned. The guidance of El Brocal depends on the performance of this [indiscernible] sort of solution. 
Carlos Pinillos: We expanded capacity will provide for lower-cost and that is when we are essentially looking forward, but the thing is we will like to have a better idea of when the 18,000 tons per day will be firm and that we will be able to give some guidance to the market. As soon as we have that, we'll get to the margin. 
Operator: At this time, we have no further questions. I'll now like to turn the call back over to Mr. Benavides for closing remarks. 
Roque Ganoza: Well, thank you, again, for attending this conference call. It is times when companies have to tighten our cost, and we are working on that front. We are also working on the social front and trying to reach agreement with the local communities and being able to develop projects 51 years of experience have matter for us, and we will continue working as a team and the talent that has been developed in Buenaventura will help to face these times, and we expect to see you in some future conferences in order to continue giving information to the market. Thank you very much for attending this conference. 
Operator: Thank you, ladies and gentlemen. This concludes today's conference. You may now disconnect.